Unknown Executive: [Interpreted] Ladies and gentlemen, good afternoon. I am [indiscernible] ABC. Today, we are very happy to have so many investors, analysts and the friends from [ Libya ] to attend Agricultural Bank of China 2022 annual results announcement, particularly after over 3 years. Once again, we are seeing [Indiscernible] in Hong Kong once again and it is a great pleasure to all of us. So therefore, thank you very much for your coming. And I'm now going to thank you as well for your support in the [Indiscernible] of time. Thank you very much. We have a venue in Beijing and another venue in Hong Kong. Meanwhile, we are also streamlining the results announcement globally. According to our statistics, in Beijing venue, we have 52 participants. And in Hong Kong, we have 30 participants. Meanwhile, in addition to all those participants on site, we have participants online as well through 3 platforms, and we have a very active participants joining online already. Now I would like to introduce part of the directors of our Board as well as management team first. [Indiscernible], Vice Chairman Executive Director; President Development, [indiscernible]; Executive Director Vice President, Mr. [indiscernible]; Vice President, Mr. Liu Jiawang; Independent Director, Mr. Huang Zhenzhong; Investor Investment Director, Mr. [indiscernible]; General Manager of our Finance and Accounting, Mr. [indiscernible]. Key managers from corporate management department, Mr. Han Guoqiang [indiscernible], 2 directors. [indiscernible] at Hong Kong venue or the results announcement today. Now showing into the first part of the results announcement, we believe that for [Indiscernible] ABC, we will share with you our business performance of Agricultural Bank of China. Thank you.
Fu Wanjun: Investors, friends and family and analysts, good afternoon. Thank you for your coming to our 2020 (sic) [ 2022 ] annual results announcement. On behalf of the management, I would like to report to you our business performance in 2022 from 8 aspect. In 2022, we carried out the strategies and deployment from the central component and the product services to our economy as well as our citizens while we also innovated and grow our business. We stick to our core supply of the risk management. In this business, we make a new step forward. First of all, our KPI, we realize a [Indiscernible], and net interest income and asset fee income increased by 6.9% to 3.7%. And so on a [Indiscernible] central spectrum total assets is RMB 3.39 trillion. Loan increase with some [indiscernible] trading, up by 15.1%. So the balance is RMB 15.8 trillion and the [indiscernible] by RMB 1.3 trillion, with the total increased the net balance and the total volume also increased RMB 4.2 trillion or 7.7% with a total balance of RMB 18.2 trillion. For the corporate customers and the total [indiscernible] in the nontrading, up by RMB 1.3 trillion. And individual customers, the RMB 15 trillion increased by over RMB 2 trillion. And both for them [indiscernible] are high. In terms of [indiscernible] economy, we also provided support to the building industry with a loan to manufacturing was RMB 2.3 trillion, up by 38.8%. When manufacturing mid-to long-term loan increased by 52.8%, and of emerging industry with a loan of RMB 1.42 trillion, and also grows a lot. And with an increase in fees of 44.6%. So we have also provided intervention to system, several system for the [Indiscernible] revenues over 2/3 of the third oldest. In more time to [Indiscernible] businesses, we started our indirect version and supporting the coverage business growth. And the loan balance is RMB 3.4 trillion, up by over RMB 574 billion and [Indiscernible] is the RMB 2.30 trillion by over RMB 70 trillion. And also our working was increased to A grade among the highest grade for all banks in China. And we also expanded our support for international mode and cross-border R&D settlement and the international settlement as well as new loans to the customers increased by [indiscernible]. We made another [Indiscernible] forward by providing the country's increase. And we also increased it by RMB 1.03 trillion increased by rating 17.9%. We provide both to the full production, and for the hot food industry, in this industry, we also resulted 22.5% and 81.7%, respectively, high above the average percentages. This also hedge with the stabilization of our loan supply in China. We provide and support to the new industries in the agriculture sector. So we have 22.4% of our growth of the village areas and providing good support to -- by providing all around financial services. And we also have [Indiscernible] for new villages where we saw a 21.6% of growth in loans. In terms of expanding our domestic consumption in the 3 consecutive years [indiscernible] others. And with over RMB 428 billion in individual mortgages, the increase was also ahead of others by over RMB 100 billion, and reaching for RMB 3.5 trillion. And for the individual consumers, there was also RMB 83.9 billion on the increase. And for the credit costs, we are also delivering very good results. To the balance of loans, that was over RMB 677 billion. In terms of the [Indiscernible], there was also progress, we provided active support to local governments in delivering the properties as scheduled to guarantee the [Indiscernible] livelihood, we supported -- we provided to over 177 projects, we'll support the future property development -- developers. And the for real estate developments loan, the total [Indiscernible] of this also exceeded RMB 200 billion to provide [Indiscernible] to the assured housing programs and the total increase also exceeded RMB 50 billion, ahead of others. In terms of digitalization, we also made progress. And so we enhanced our capability in providing services online. And we enjoyed the 42.3% of our growth in our loan, and the digitalization went to a higher level. For the online banking, users also increased a lot by over 19 million users also leading ahead of other banks. So digitalization has gone deeper to our final targeted market. The conversion from micro businesses also attribute over 13%. We also enhanced our feasibility internally, unless due to the capital contribution pass [indiscernible] average decreased by 2.86 percentage points. So our [Indiscernible] increased by 7 percentage points, reaching 17.2%. To invest [Indiscernible] procedures of our credit NPL ratio decreased by 0.04 -- 5% to 4.92%. We kept optimizing operations and maintain a very stable opening. So in terms of our asset quality, it has been improving over time. And the NPL is 1.37% down by 0.06%. And the asset quality is also maintained a very good level compared with other banks. For the risk indicators, we will be also improvement for the expected asset down by 0.02%. And for the overdue loan is 0.08%. So which was a similar level at the beginning of the year. We were stronger than  before in terms of our risk management and provision ratio is over 2.6%. So as a latest step, we will continue implementing the decisions from the [Indiscernible] segment and implement our philosophy for new growth to realize the high-quality growth as the core of our work in [indiscernible] deeper into rejuvenating the abilities and providing services to real economy. Meanwhile, we will keep optimizing our financial objectives and try our best to contribute more fair to the monetization of the country. Thank you very much.
Unknown Executive: Thank you, Mr. Vice President. Mr. Fu, thank you, Mr. President. Just now Mr. Fu, President of the bank, shared with you our business performance just from different indicators where you can see his own highs and will also elaborate demonstrated our accountability in providing the [Indiscernible] economy and also made progress in expanding the domestic consumption as well as the new product in the property development sector. And our guiding [Indiscernible] and our assets quality is also improving year-by-year. I think the 3 aspects, you can see they have a given very good results and also to share with you guys [Indiscernible] for the year -- over the next coming years. So now I would like to open questions for -- open the floor for questions. So since we have participants in Hong Kong and in Beijing, they will take questions alternatively from Beijing and Shanghai. So for the interest of the 2 venues, we will allow 1 question for each investor, media or analyst. Please identify yourself before you read the question. Now shall we invite the first question? The first question will be from Beijing. And the next time, it will be from Hong Kong because we have 2 venues and we will take questions by taking time from these 2 venues. The first question will come from Beijing venue. So I can [Indiscernible] middle and right. The first around is the middle area, the gentleman to the left.
Unknown Analyst: I'm [indiscernible]. Now I have a question for you. Looking at your data, your business performance, which was very good last year. And from a QA and your revenue growth, so what will be the highlight for your in postal revenue for this year? What will be the final [indiscernible] for this year?
Unknown Executive: Thank you very much for this question? Can you please allocate this question.
Unknown Executive: So I will take this question. First of all, thank you for your question. In 2022, I may say that we implemented the deficiency and the strategy [Indiscernible] from the central governments very seriously and we provided support to the way economy in the country and providing the balance support to the real economy and managed our risk algorithm [indiscernible] growth in our business. I must say that our business performance delivered a very satisfying [ quote ]. For example, as I mentioned earlier in my presentation, actually, in terms of our savings, deposits and loans, we have been leading ahead of others. And our business performance has been very good last year. In 2022, we realized net of [indiscernible] so RMB 258.7 billion, up by [ 8.7% ] of revenue and also increased by 7.7%, reaching over RMB 790 billion. So you may want to note what will be the trend of growth this year from the first 2 months of this year from -- because of the NPR as well as the recovery of the market, and you see there will be a delay in our performance after the recovery of the market. In Q1 this year, our revenue, we are also losing our performance as well as our judgment on the trend in the industry, we will maintain our consistent delivery in our profit and revenue. And first [Indiscernible] mortgage, [indiscernible] 40% that we price on the 1st of January this year. So this trend is in line with the upper trend in the whole industry. Looking to the full year, our economic running is estimated to be rebounding. And we think that this year for the whole banking industry, we face as we are more favorable economic environment for us. Therefore, we will capture the opportunities actively in the market, both by the recovery as well as the [indiscernible] recovery in consumption. We will also look at our own operations processes and they take different measures in order to expand our sources of revenue. And [Indiscernible] while, we will also maintain the very healthy revenue performance to reward our shareholders. Looking at [indiscernible]. First, in terms of the size of our assets, we will continue expanding our support to the real economy [Indiscernible] the  steady pace of growth in the loans and the assets. Meanwhile, we also maintained stable growth in the [Indiscernible] digital operations. In terms of our operational structure, we will also increase the percentages of credit as well as the high interest bearing [Indiscernible] for the individuals. As for other areas, as I mentioned earlier, but because of the repricing of assets as well as other factors, it is estimated that the interest margin then in Q1, we are continuing to decline, which is in run rate but the overall interest rate along with the recovery of the economic situation in China as well as more consumption in the market, we estimate that the declining pace will be slowing down and then destabilized. We will work hard to maintain our name as a reasonable range. Firstly, in terms of our noninterest-bearing income, we will put our customers in the first place. For the covered customers, we will keep improving our capability in providing overall and the benefits for financial services for them. As for the [indiscernible] from cycles, we allocate different and a very diversified product to increase the revenue from wealth management services. We will also play a good role because they have marginal licenses. And [Indiscernible] that we can promote steady growth in the fee income and other income meanwhile, we will also deal with the fluctuation retain prices a while in order to increase improved the stability in the distribution of [Indiscernible] mutual [Indiscernible] assets. In terms of provision and the reserves, we will manage them as well to [Indiscernible] provisions, meanwhile we will also trend NBLs well, I believe such as the credit cost this year will be maintained at a stable level.Thank you very much.
Guoqiang Han: The second question will be from Hong Kong venue. [indiscernible] to the right.
Meizhi Yan: Good afternoon, management. Meizhi Yan from the UBS Security. We noticed that your project increase has been very fast in last year. I just want to know in general this year, what is the growth in the credit growth [Indiscernible]. Then how far we have seen -- how we compare the demand for each this year versus that year? What is your total incremental volume of budget year? And what will be the pace?
Unknown Executive: So Mr. Fu, please allocate the question. So Mr. Guoqiang Han, our President [Indiscernible] will take this question.
Guoqiang Han: Thank you for your question first. I'm very happy that you have noticed the increase of our facilities, and we enjoy the highest speed on the top 4. Last year, there was an increase of RMB 4.6 trillion, which is also a historic high, also leading other banks in the industry. But first of all, in our macro economy, these are very positive changes. And in terms of the production as well as the consumption with the [indiscernible] indicator has been [Indiscernible] exposure line, and there was 2.5 percentage points up. This means that the very durable and constructive environment for us. So therefore, in terms of the abilities and the credit, it is also [Indiscernible] new from generally favorable in our project pipeline. That means we also approved but not yet open, there was a 6.2% of increase. Because of similar demand in the first 2 months, we issued the historical high total loans. As of the end of February, all loans in combination increased by over RMB 200 billion and reaching over RMB 998 billion, but this is a very fast growth as well. So this year, we believe that the growth will be maintained. Manufacturing brand industry and emerging industry are usually the major areas for such loans. And looking to the whole year, we will continue optimizing our supplies and providing most of the agriculture to relevant industries. The total granting of loans will be maintained in an active and stable growth. So in terms of total amount -- so first of all, it will be depending on the economic demand. And also, we have to look at our own capability in managing risk. So such growth will be maintained at a stable level. In terms of pace, we support our economy proactively and the control the pace of our branding and proactively in order to satisfy the demand of both facilities. So for the ability for the infrastructure as well as the tech industry advanced the manufacturing [Indiscernible] areas. We will also support to the individuals as recovers to support the economic growth.
Unknown Executive: The third question, please. The next question is from the right area. The third row, the lady in the third row area.
Unknown Analyst: I'm [Indiscernible] from BOCI. Just when you talked about mortgage, I just want to know more about mortgage. So last year, after the policy of dynamically managing the mortgage interest rate. So what are the new changes? Second question, for people talking about paying back the mortgages earlier. So how do you think about this as it is coming [indiscernible] The third question, so what do you think about the advance for mortgages? And what is your reserve projects? How do you [Indiscernible] the total uses of the mortgages throughout the year.
Guoqiang Han: Mr. Fu, please allocate the question. So this question will be taken by President Zhang.
Xuguang Zhang: Thank you, [Indiscernible]. We're so happy to answer this question again. So [indiscernible] has been supporting the -- satisfying the needs of the mortgages, particularly for those [Indiscernible]. So the total balance for mortgages is RMB 35.35 trillion, both a slight increase, and this has been leading ahead of other banks in the industry. Along this recovery for the profit mortgage, currently the mortgage brand is also improving. Looking at our own reserves. You can see that as of the end of February, our sales of the individual mortgages, that is the group than last year [Indiscernible]. And since around RMB 4.4 million, and there was a 57% of increase of [Indiscernible] mortgages every month. This is also a very high [Indiscernible] growth. Of course, the cost of the dynamic mortgage interest, interest rate adjustment policy. So we have seen that there's a slight difference. From last May, in all the banks, we saw a decline of individual mortgages. And compared with other banks, our situation is similar to them. So I think the reason people have looking data and have a different analysis. Of course, we've only have a different financial plans. Of course, there was your decline -- it's a decline last year as well as the interest rate changes in the industry. And the other thing is that from the macro picture, we saw favorable signs. And we will follow the assortment policy of stabilizing land price and the real estate projects to facilitate the healthy growth in the corporate industry. So we will stick to the positioning of [indiscernible] for speculation. So we also provided most those [Indiscernible] demands for improvement of the housing in some of the price cutting areas, we will also consider the people who have demanded there and provided our mortgage to most of them, thereby we will also come from more support to young people and citizens. We will provide support for them to live a stable and better life there.
Unknown Executive: Thank you, Mr. Zhang. Next question is from our Hong Kong venue. The gentleman in the first row, please.
Unknown Analyst: [indiscernible]. Last year and this year, just we saw a decline is because of the APR was lower, and the actual rate is the adequate ratio. So how do you think about APR this year, do you think it will go down further? And what are you thinking about the pressures remain? Do you think there will be a decrease in [Indiscernible]? And also, you mentioned earlier, you hope to maintain it at an adequate level. It doesn't mean that there will be further pressure for down going trend in the market. And in terms of the loans and the facilities that will be a real estate industry, how do you think about the increase in the past few months in the year?
Unknown Executive: Mr. Fu, please allocate the question.
Unknown Executive: This question. I will take this question. As you all know that real economy is the fundamental part for all banks. If we want to make all the businesses possible as you have to must make the real company possible first, and if you want to stabilize your business in banking, you have to stabilize the business in the industry as well. So that's why we saw a decline in NIM last year. In 2022, our name was 1.19% compared with the 2021, there was a decline. And compared with the overall trend in the industry, we maintained a similar one. The decrease in NIM was caused by several factors. I think for us there are 2 influences. Number one, in terms of our financing cost is to reduce the financing cost and help to stabilize the economy. APR was slowed down [Indiscernible] last year. And because of the continuous decline in our APR, therefore, our interest income from our loans also decreased by 14%. The second one is about -- is because of the negative interest impact. So therefore, our interest-bearing [Indiscernible] also went up. So this year, based on the economic trends may enhance our NIM proactive management and focus among the accuracy and the effectiveness in providing support to real economy. So overall, we estimate that in 2023, our main [Indiscernible] space has some pressure by down going as well. However, the decrease will be much more relaxed from the asset side, because of the load APR inflation repricing as the amount that this increase was rejected partially last year and a lot of others will be reflected in 2023. So in the short run, our -- the interest income from loans will continue to go down. This is also in line with the overall trend in the industry. Just at the beginning of the year, along with further recovery of our economic performance in the contract [indiscernible] financing demand on reautomate was better. And therefore, we capture this opportunity. And as the [Indiscernible] time and adjusted [Indiscernible] for the [Indiscernible] net loans. And currently the newly issued brands, the [Indiscernible] goods. And from the liability side just because of the APR. Now it is releasing an effective vacancy and its impact. So therefore, we also managed our own credit, our operations. Last year, for 2 times, we lowered our service interest rate. And therefore, the pressure of savings and the deposits was further released. As a step next forward, we will keep optimizing our asset liability structure and maintain our NIM performance so that we can maintain our contribution to the stabilized growth of real economy. So we will focus on the following areas. Number one, in terms of an asset side, we will continue pay our role as a pilar and invest it and build a bank. So we will capture the opportunity in the market and also consider the changes of credit and demand by further optimizing our own credit structure meanwhile, manage the pace of the loan banking also better meanwhile, we also realize the improvement in terms of [indiscernible] quality price [indiscernible]. So we also control the pace well in order to realize the value creation during the year. In terms of the liability side, we will deepen our optimization and improve our own capabilities by serving customers as well as our average customer acquisition measure. Meanwhile, we also keep improving and to realize [Indiscernible] growth in different settings and the deposits. And then thirdly, we will manage the duration of our [Indiscernible] and so that improved the overall income performance. The number, we also optimize the [Indiscernible] strategy, risk and risk policies as well as the [indiscernible] policy to deliver a depreciated performance in our product to refine our management and the customers in order to cut and release the pressure from the [indiscernible] Just I asked about the loans for the property segment. So looking at the performance during the first quarter, we have already felt that for the individual mortgage customers, we saw a recovery in the demand. And in the market, the total volume can show this. And as the next step, we will go on sticking to our own policy and provide the financial support through our services to the property segment.
Unknown Executive: Next question will be from Beijing venue.
Unknown Analyst: [indiscernible] from [indiscernible] Finance. Last year, the central government [Indiscernible] issue of this system growth and for ABC in terms of providing financial policies or what [Indiscernible] pressures did you have under looking to property market and the overall [Indiscernible] has you think about this?
Unknown Executive: So Mr. Fu, please allocate the question.
Fu Wanjun: Mr. [Indiscernible] will take this question.
Unknown Executive: Thank you for the question. Regarding property industry, our overall positioning is to speak to the principle of how to [indiscernible] speculation also when we follow closely the market for stabilizing the land price as the positive price and under expectation in order to facilitate a stable and healthy growth in the industry and to promote the whole property industry to transform to new models. And so you asked about ABC, about our services to the property market. My answer is for the allowance of the corporate customers. Last year, we realized a steady growth. And throughout the year, we -- our total loans issued was over RMB 23 million, and a lot of them are for the assurance housing. So in this indicator, we are ahead of others. Meanwhile, we'll also support the growth of the buying and leasing market. The growth state is over 50%. Secondly, by regions, we focus more on the regions where this rational demand and supply relationship has aggregate housing prices. Of course, we'll look at the return [Indiscernible] and [Indiscernible] as in the areas where the city area and suburbs can meet with each other with a higher population, we also [indiscernible] support. In terms of our customers, we will focus on high-quality developers to facilitate the steady growth. Of course, for [Indiscernible] development where we saw risks, we also stabilized our facility supporting without suppressing them and without discontinue our support to them. So you also talked about the upstream downstream in the asset quality. I can share with you that in the early period of time because of the becoming trend in the property market, we start from the developers. They expanded [Indiscernible] and they had regarded too much debt. First of all, we saw more exposure to risks and we saw the increasing trends of such risks among a lot of other members. So therefore, last year for the for NPL -- for the corporate customers, the NPL ratio is 5.48%, up by 2.9%, reaching RMB 460 million. But overall, our asset quality, there are risks but the risks are controllable. And the overall asset quality has been very stable, and we have already made results in the provision accordingly. So let me give you a example of our downstream and upstream. For the construction structure. This was a very steady industry. Last year, the NPL ratio was 2.42%, up by 2.18 percentage points from the beginning of the year. So after the issuance of the financial [Indiscernible] rules. Let me share with you very briefly how we implement these rules. We responded actively and started income immediately. Currently, we have signed the comprehensive strategic agreements with over market developers. So specifically, things are what they have done. First, we organized and started implementing immediately after urbanizing meeting and the second of the cost department working growth. We also started to predict measures for [indiscernible] so that the policy can be rated to implementation immediately. Secondly, we also optimized the process of the policy in implementation. We focus on the positive industry. And so as the stabilized the loan issuance to the developers as well as individual customers will also provide the financing services for the guaranteed delivery of houses. And so for example, for the developers for the guaranteed services and loan services. So this will optimize our business process and [Indiscernible] and finish the expansion, the socialization of our different policies so that we can keep compliance with other regulatory requirements. Thirdly, we also enhanced our own inspection and assessment as well as the guidance in a systematic way. So we have incorporated into property other requirements into our assessment criteria and by project by customer, by branch office. So we see the supervision day by day to guide the best offices implementing the policies quickly. So in short and also as a net debt, we will continue enhancing our responsibilities and to continue optimizing the fixing roles to support good developers and improve the balance sheet and satisfy the reasonable financial demand from the property industry. Meanwhile, we will also enrich our own product risk in order to manage the risks and maintain a good relationship with the business growth to support the healthy and stable growth of the recovery of the public industry.
Guoqiang Han: This question will be from Hong Kong. This is from the gentleman in the fourth row, please.
Richard Xu: Richard Xu from Morgan Stanley. My question is about [Indiscernible] your corporate adequacy ratio. So we noticed that actually for all the commercial banks there is a new policy [Indiscernible] now. How do you think about -- how do you assess the risk? How do you think about your core work, the car? What will be the impact to you in this new policy. So there are some [Indiscernible] regulations on this. So in 2025 in terms of the [indiscernible] for the car requirement, do you see any pressure. And this year, can you share with us on a new capital implementation?
Unknown Executive: Mr. Fu, please allocate this question.
Unknown Executive: Let me take this question. First of all, thank you for your question. We have noticed and you all have noticed, for the commercial bank asset management policy, the draft of dollars is issued and for the -- for hearing, for the public hearing and considered the over [Indiscernible] market as well as the verification in China and also improve the comparability as far as the [indiscernible]. We guide -- and it also had for guiding all the commercial banks to provide more motivation to them in providing real economy. According to us, after the implementation of the new policy, our risk weighted -- risk assets will decrease. And the CAR at a different levels will also up. And so far, we are promoting the implementing of these new policies in the early preparation. And we proactively -- the allocation and the optimization of our assets in the bank level to improve for the asset level and the risk management. So making sure that we will have a very stable comp after this policy is effective. We expect for hedging the target after our assessment, we think that feedback -- probably feedback hedging in terms of hedging the feedback so we have confidence because as you know, the [indiscernible] is the foundation of our feedback. And so far, our CAR is 17.2% compared with the end of last year, there was 0.17% up. So therefore, it also has to be a solid foundation for us to hit the feedback. So there's a high fee up before the following factors have elaborate this, number one, number one, our internal capability has been better from last year, gross profit attributable to shareholders is over RMB 259 billion -- RMB 259 million. And secondly, we have delivered working without capital resolution. And our asset [Indiscernible] debt is from 38.5%, down by 2.9 percentage points than [Indiscernible] this year. And thirdly, therefore, the capital replenishment also improved, but we capture the opportunity in the market and we issued the RMB 8 billion perpetual betting market as well as the RMB 30 billion secondary bond in the market, which help with our CAR. The 21st of March, we also issued a RMB 70 billion secondary bond to the market and further enhance our capital our asset strength and the capital strength. So we will further improve our capital plan and making sure that all the capital is at [Indiscernible] effectively. We will also keep a close eye in the market and replenish our capital from external adequate rate making sure that we maintained a very stable and healthy CAR.
Unknown Executive: The second question will be from Beijing. [indiscernible].
Unknown Analyst: [indiscernible]. So my question is about the [indiscernible] from a financial statements in terms of our [Indiscernible] abilities, [Indiscernible] results. And also the national council also puts a lot of focus on this. Just to mention that our leading bank in the villages in the rural area [indiscernible] and what are the opportunities? And please share with us why we sell the regionalization program, how to improve your own performance as [Indiscernible] bank?
Unknown Executive: Mr. Fu, please allocate the question.
Unknown Executive: I would like to this question to do this question. Thank you for your question first. And thank you for having noticed our 2 positioning for ABC. So one of the positioning is providing the [Indiscernible] happening with the [Indiscernible] of a rural area in China. It is a very important strategic deployment and providing services to the region of a rural area has been a very important part for us. Last year, we did a very good job in this regard. And let me share with you in 3 areas. First of all, the issuance are launched in this area further enhanced. As of the last year, the total balance of loans is RMB 7.1 trillion. The increase is also half from the average, both from loan by 2.8 percentage points. In some [Indiscernible] areas of the food security is an ambition [Indiscernible] and reconstruction abilities. Our growth speeds are all above the others. In terms of -- in our projects, we provide services in over 150 countries in over 832 projects. This is another one. The third one is the coverage of our financial services further expanded. In 2022, we have more outlet 65% of them are located at either counties or townships as well as the areas, the cities and the rural areas needs. Our coverage is over 94% in rural areas, mobile phone or online banking. And we have over 200 million users [Indiscernible] at country level. And through the mobile [Indiscernible] service vehicles, we also provide these services to the remote -- over 100 remote [Indiscernible] in providing services in different business. And we have more enriched the financial approaches, for example, we have the [Indiscernible], we have the rural area production [Indiscernible]. We have for the specialized accounts for individuals. We just bought their free agricultural projects. But currently, we have 273 [indiscernible] project. And for the home loans increased by [ 37.3% ], we have different accounts. I mean in terms of the underwriting of our bonds for [Indiscernible] program, we are also ahead of other banks. So this is about the regionalization program of rural areas and some of the achievements we had last year. The country's natural congress as well as economic growth in committee and the central government further did major deployment for regionalization program in that country. And this also provided a historical opportunity for ABC. So you may have noticed that the government has decided to kick off for the new round up. So 10 billion ton of food in the country there will be support for the irrigation systems, for the farming systems and so forth. We have seen a lot of demand in this food services. In the regionalization program from how to [Indiscernible] them in industrialization, channelization and so and so forth. So for the primary, secondary and tertiary industries are being integrated and we see [Indiscernible] in the low-carbon development in the rural area. So digital [indiscernible] combined the villages and the environmental government in the rural areas and the infrastructure financial support, we also see greater demand in both areas. Meanwhile, we have noticed and you have noticed as well that in land information talent, technologies and all this -- the critical elements will also grow more and more to agriculture and abilities. And there will be potential -- with potential of our consumption in those areas and those potential will also be released, which will brought more opportunity for us to further expand our business and the services. As [indiscernible] that, we will anchor ourselves to provide high-quality financial services and provide services to the growth opportunity agricultural areas and contribute more share to our national program. This year, our focus will be in the [Indiscernible] [ 6 33 ]. 6 means -- so while [indiscernible] we have achieved food security, the village of [indiscernible] project. We bring in the low carbon rural development as well as the country cash integration, we will have 6 centralized actions. The first of the 3, it's about further expansion for the financial innovation and digital village. These are 3 projects. The third 3 is to build up and improve the existing empowerment programs and the resource allocation as well as the risk management and the compliance performance, existing network by taking all these measures -- so really we'll deliver even higher level of our performance in all these areas. This year, we hope to realize more performance in our all-around services.
Unknown Executive: The [ eighth ] question will be from Hong Kong. The fifth row, the gentleman there, to my left. Michael from [indiscernible].
Unknown Analyst: My question is about asset quality. Last year, the NDL ratio declined. And what did you do for that? And what areas or which part do you see big price and risk? And do you see there's any change to risk and pressure in this year? And the campaign was lost, how do you think about the trend after NDL this year, will it be better, or will it go worst? So can you please describe will it be the high first and then the low or low first and then high? And as a regulator, you issued a policy on the commercial bank, it's that financial assets, the risk management role and the loans will be expanded to all financial assets. For a bank, particularly, as you say, what will be the influence and how big influence will be?
Unknown Executive: Mr. [indiscernible], please allocate the question. Mr. [indiscernible], can take this question.
Unknown Executive: Thank you for your question. Michael [indiscernible]. So it's easy for me to communicate and answer this question. You asked several questions, let me take them one by one. First of all, the risk management, it is one of the key areas we look at and we have been enhancing our measures as well as improve the accuracy and proactive in risk management. Our asset quality has improved and NPL is at 1.37%, down by 0.06% than the beginning of the year. As for the new NPL areas, we have been keeping a very close eye on it so far. So for this new NPLs. It's [indiscernible] and the growth by RMB 5 billion. And there was 6.9 percentage shutdown. So for the manufacturing base property and retail and wholesale in the these 4 areas. So 66% of the NPLs are in those 4 areas. For the retailing, it's 5.8% in place [indiscernible] and there was a 0.15% increase. In addition to these 4 areas, we also look at the local government suggest risk -- credit risk from as well the green transformation, you have some high-risk areas. Meanwhile, in the economic transmission, some SMEs and increase individuals that may have also reset metric risk for them. Talking about our focus for asset quality in the future, reservoir from the external environment, China's macro economy is improving, which provides very good external environment from our own asset quality. Internally, we are having more and more measures to manage our credit quality. First of all, we have done, number 1, we keep optimizing our credit union loan structure, and we combined our own policy over adaptability of the national policy; secondly, with improving our own policy on credit and allowance, particularly in appointing and the authorization to make it more efficient and more targeted. Number three, in the reform, we focus on the exposure and the risk management at the group level and the lower level so now we are putting - we are looking accountability system in order to diversify the risk management responsibility. Meanwhile, we're also improving [indiscernible] mechanism, particularly how to understanding of our risks and further explain different risks and the precautionary measures. And as far as to the trend forward in order to stabilize our active project. We also improved our capability in digital risks, and we'll focus on the role that big data plays and we also keep optimizing and iterating the risk models. I think that the through the better macro economy, economic environment as more measures from credit and loan management, I think that we will deliver even better results in this regard. Your third question is about the financial assets can canalization method for all of our commercial banks, what is the influence? Now we started the new requirement in our own capitalization, most of them have already implemented. Let me give you 2 examples. In this policy, the scope of the capitalization now is expanded from the loan to all the assets that undertake a base risk. As for the credit risk and the non-credit risk, we have already implemented requirements. For the over -- our deal will be regarded as the NPL, but also we have been very strict in argumentation of our such NPL, for example. So over '22, the end quarter assets will be regarded as NPL. This is our practice in generally. And we are also seeking tax in our business and making all the arrangements accordingly. So far for our assessment after this policy is improvement there won't be big increases and our asset quality will continue to improve. Thank you.
Unknown Executive: Thank you, Sian. The last question [indiscernible].
Unknown Analyst: In the new area, the fire there data piece. [indiscernible] from Shanghai Security. From [indiscernible] about the risk management. So with the interest hike from [indiscernible]. So how do you manage? What are you thinking? What are your conversions of the risk management? And what measures you need to take?
Unknown Executive: Mr. Fu, please allocate the question. Mr. [indiscernible], our Investment Director, will take this question.
Unknown Executive: Thank you for your question. [indiscernible] answer just now in your question. Within Europe and European, we see some banks have a lot of incidents recently, and it happened in the context that Fed increase hedge, interest hikes continuously in the past. So for us, I have 2 points I want to share with you. The first one is translate in Europe and the U.S. has the bank incidents work as a direct impact. Well, we don't see much impact to us. We can look at it from 2 levels from the operating level with our total business, our foreign exchange assets and overseas assets, we don't have much of it. And specifically, so we don't have any exposure, or we have a little exposure on this. So we have always take the liquidity management very seriously. We have abundant capabilities to fight against any possible filing exchange-related risks basically at one level. And then from a macro level, in China, we have autonomous currency policy, and we'll have our own financial environment, and environmental policy -- and financial policy. We have been very cautious on the macro controls. In ABC, we also implement all the requirements [indiscernible] from SMB, we have a very good [indiscernible] from the environment on our operations. So this is the first point I want to share with you about the direct impact, very little or no impact, direct impact. The second point I want to share with you is that currently in Europe and the U.S. we're after these bank incidents. Once again, this is a very good alarm for us. So it is being one of the big banks in China. For such bank incidents in U.S. and in EU, we have been very -- keeping high level alert to both incidents. And we think -- so at the present, looking at all those banking incidents in EU and in U.S., we do not think that there are liquidity risks or interest risk only, so we need to look into the incidence in a deeper way in a long-term way when analyze the risk. So there are a lot of things internally in those banks. So we were -- so that's why we speak to our own concept and philosophy in our operations. Number one, we do banking business. We mostly do it in stable and cautiously because we issue loans and we charge interest, and therefore, we have limited coverage on such risk. So that's why in our business in the prudent way, this is the #1 requirement. And number two, you must coordinate and been planning of company so doing banking business, so we hope to grow our business in a sustainable way. So therefore, you know our day-to-day operations, the liability, the liquidity and all these relationships must be maintained in balanced way in the short-term and long-term relationship. We cannot focus on one area without thinking about the other areas. Thirdly, doing banking business, it must be very sensitive because banks are so closely related to the health society and to our economy. So doing a banking business, we must be able to keep sensitive to what is happening outside as well as your insights, we must be able to identify the changes and get insights on the risks as well as the business opportunities. So I hope I have answered your questions.
Unknown Executive: Thank you. We have a lot of questions just on online. And we have got some -- certainly also questions from online. So let's answer the most of the question here. How do you think about the [indiscernible] business as well as the [indiscernible] cost and returns? For this -- for the inclusive macro and small business, this and there will be a continuous high [indiscernible]. Mr. [indiscernible] allocate the questions. So Mr. [indiscernible] will take this question.
Unknown Executive: Thank you. Thank you for your questions. I don't know who after these questions, and what is the number of this investor or person from media. Let me answer this question. In 2022, providing services to the economy and keep improving our capability has always been something that we're focused on when we support the growth from small business, micro business with society in terms of our capability, business liability and simple motivating the data in our annual report. As of the end of last year, in terms of inclusive micro business loans, the total balance is RMB 1.17 trillion. The number of customers 2.53 million, defined our positioning is to be a leading bank in providing support to the regional [indiscernible] program, therefore, a lot of customers. We also joined our support in the farmers. So in a farmers, we are part of the increase in the program, the total balance of loans is RMB 2.57 trillion. So this is the overall situation for the inclusive margin and small business. So as you asked, the cost and other returns and what are changes. So talk about again from the interest results for the visit interest rate for the issue loan solution its 3.9% down by 20 basis points in the previous year. And then looking at the cost side, in the past few years, it is helping our implementation in digital transformation. Meanwhile, we have been optimizing our business grow as well in order to improve our capability and efficiency in these inclusive services. We are also better at managing the risks in this process. So therefore, while providing services to such a small and micro customers, our operating cost, risk cost are also going down accordingly. So this is about the cost and return changes. The third question you asked or the third point you asked is that in 2022 along with the recovery of our economic decision in China, small and market businesses are now receiving their business and the inclusive of financing demand also go out. So we will also consider our own situation in the bank and work out the separate loan plan for more subject services and allocate resources secured accordingly. We will work hard to realize further growth based on a higher level of performance last year for the sake of a high-quality growth. You may have added that in public accounts, we have -- we already announced our total amount of a loan, now this is over RMB 3 trillion. So I hope I have answered your questions. Thank you.
Unknown Executive: The 11th question will be from Hong Kong [indiscernible]. My question is about the green loans. Last year in the 36% of the green loan and higher -- much higher than the average in the industry by 21 percentage points. I just want to ask what is the pricing of the green loans? And what is the asset quality? And looking to this year, what will be the growth target this year? And what areas are you going to grant your loan? Mr. Fu, please allocate the questions. Mr. [indiscernible] will take your question.
Unknown Executive: Thank you for your question. And thank you very much for your recognition and interest in our green loans this year. So as a response to the strategic deployment of the central government in the green bonds, we will also keep improving our capability of our green financing through our services and contribute our sale to realize a bit for China. So of course, the green is also our background color, if you look at our logo, it is aslo green, but this is also part of our counter and the philosophy as of the end of last year, our total balance of [indiscernible] loan is RMB 2.7 trillion, up a lot and as you said, a very high growth. And there was a green bond as our RMB 126 trillion, 37% logo. Now in terms of our pricing, we offered a suitable price. For example, we fully authorized our frontline branch offices, and they can provide a more competitive pricing to our customers in the growing bank. In the 3 quarters at different levels, our pricing is now penetrated into a lower level of our branch offices. And because we stand for the advanced and the future productivity and the branch life. So therefore, the asset quarter has been very stable. Currently, in terms of the granting of such loans, our environment is that we will provide most of the green loans. We see growth is continuously above the average growth in the industry, making sure that the percentage of the green loans continues to go up. So this is our overall target. As for specific areas, we will look at energy conservation, clean production, clean energy, environmental protection quality, upgrading for infrastructure on services. Meanwhile, we also after the conference call of common emission reduction as well as the high efficiency of our energy utilization and so forth. So we will provide the services to the key customers and the key -- from the key areas. The 12th question will be from [indiscernible]. The 5th row in the mid-area, that gentleman there, please.
Unknown Analyst: 2% of economic reports. So my question is, how you think about the consumption of financing potential passing as well as asset quality? What we see your strategy in the target this year?
Unknown Executive: Thank you for your question. Mr. [indiscernible], please allocate the question.
Unknown Executive: Mr. [indiscernible] will take this question.
Unknown Executive: Thank you for your question. So 2% the economy -- this is something that I have described all this year. Let me take your question. What is our take on the potential of consumption financing? And looking to this year, I think consumption financing is now embracing a new development opportunity. And I think this -- the following 3 factors will contribute to this. Number one, the government issued policies of expanding our domestic growth and the domestic consumption. So therefore, people are more confident in consuming. Secondly, economic recovery. And this also released a lot of consumption for green shows. Number two, the government encourages consumption financing in regional growth by relevant politics. And therefore, we think that it is [indiscernible] and our performance in the first quarter also show that this is a [indiscernible] trend. And the second question, you asked about the pricing and asset quality about the individual consumption financing. As [indiscernible] said, [indiscernible] shared with the overall performance of our total loans to individuals. Now for the consumption financial sector. So we have --  we offer to the government strategy, and we provided services to support people and the financing -- consumption financing also grows very fast. As of the end of last year, we have RMB 5.53 trillion in this category. And for the consumption financing or individuals, so there was some -- the total balance is over RMB 874 billion. For the credit card loans, there was over RMB 2 million increase reaching over RMB 674 million. So from a pricing point of view, for the mortgage side, interest rates last year, every month, the interest rate went down a little bit. And in Q4 last year, the interest rate is also around 4.23%, which was a result of a more big drop. And for the individuals, what is interest rate was 4.7% compared with the business year down by 20 basis points, this is about the pricing. For the asset quality. For the individual mortgages, the asset quality has been maintained very stable. And for the housing allowance, it was 0.51%, up by 15 basis points, and the individual consumption loans is 1.25%. So it declined by 80 basis points at the end of the year. And the credit loans is 1.23%, down by 24 basis points. So still leading ahead of others in the industry. As for this year, for the consumption financing sector, we think that we will continuously capture the opportunity in the market and enhance our loan granting in this sector, that's satisfied people needs on consumption financing. Specifically, number one, for the people [indiscernible] culture, education, health and [indiscernible], we will actively satisfy people needs of fulfilling better life. And so we are also for better life. And so we are also leading by [indiscernible] individual loans and also for the interest rate for the first homebuyer and regular homebuyer, we will issue policies for different cities and adjust the first installment interest amount as well as interest rates and customer resources, more loans such as the individual homebuyers and support the homebuyers for the first time buy as well as the originated demand and the improvement purpose. Numbers three, optimize our financial services and improve the accessibility of our individual loan. Particularly for the new citizen group, we are going to a launched new citizen consumption loans in order to satisfy the needs in state of the consumption and help them to integrate into new cities. And finally, the fourth one for the car buyers, for young car buyers and young people and small and micro business owners, we will provide deposited product innovation and services in service providing to serve them well. And further, we will expand our -- the size of our credit loans. I hope I have answered your questions.
Unknown Executive: The second question, it will be from Hong Kong [indiscernible]. The third row to my right, the lady in the left.
Unknown Analyst: I'm [indiscernible] from Hong Kong Commercial [indiscernible]. And my question, the whole banking industry has provided more support to very economy. And there is a pressure from operating capital for this and several inflows until your dividend payout, so that is my first question? The second question is the regulators said earlier that we have been to some of our Chinese feature evaluation system. ABC as well as on our major state commercial banks in Asia share market long term, your share prices are below your net asset. Recently, there has been some incidents in Europe and in some U.S. banks for the state banks in China, their share prices. So there may be some influence to the prices. So my question is, how do you think about the Chinese characterized valuation system? And how do you guide investors to make their adjustment on ABC values?
Unknown Executive: Thank you. Mr. Fu, please allocate the questions.
Unknown Executive: Okay. So Mr. [indiscernible] will take the questions.
Unknown Executive: So we are now on site communicating first phase. So of course, this is definitely a very smooth communication in China here. And your question you want to see that was, number one, dividends; number two, valuation; number three ABC, including all the banks, the listed banks, their share prices. So first of all, dividend. For ABC, yes, we do have our board making, and we will continue maintaining a high dividend payout ratio. For ABC, we stick to the maximization of our shareholders interest. And while considering the returns to the shareholders, we also consider our own long-term growth. You may have already noticed that everything was listed for so many years, we have been maintaining a very high dividend payout ratio above 30% as a yen. So about valuation, we have also noticed that regarding setting up our own valuation system with the Chinese characteristics because we have always make such announcements, we will definitely work together with other markets to help with our --  setting up our own valuation system in China with our own characteristics and build up a synergy. So based on our share price performance, we think it is very obvious that we are undervalued. Even though last year, since the beginning of October last year, now in the past few months, our share price bounced a little bit under [indiscernible] both looks good. So as of today -- as of the morning, I mean the closer the morning in the Asian market, there was a 13.4% of growth in HCM market, 29.91% of growth, which are very good. However, even with so good growth now, our valuation is still under -- is still undervalues. And if you look at the figures, in Asian markets, our [indiscernible] in the Asia market about 4.41%. So currently, compared with our so satisfying business performance, the high percentage of our dividend payout ratio and for the high-quality business growth trend, we think that these share prices looking fit for that. So then not bad. So do we really have the value for investment. So I'm with to say, ABC has been sticking to the pace about high-quality growth in a long time, we have been focused and dedicated ourselves in value creation, particularly after the incident in -- from European and U.S. banks. We think it does have our own unique resilience and value insights. Number one, our investment in value is very high. It generates a complicated and ever-changing external environment as is the down-going economic trends. Last night, we announced our business performance, and you may have assumed that we have a ratio highlights, particularly the operability has been very stable. It shows that with our resilience of our past growth. In the past 2 years, our net profit by average enjoyed 6.78% of growth each year, and RAA 0.84%,  RAE is 1.34 -- 1.43%. Yesterday at the board meeting, we got the dividend payout resolution, and we calculated based on this. In Asian market last year, [indiscernible] is 3.76% and the Asia market is 3.94%. This is the yield from our dividend apparently above and other wealth management products such as national [indiscernible]. Secondly, what has a good potential for future growth? So we can look at it from 3 dimensions. We have our uniqueness. The first dimension is that this year, while our economy is to fully recover, consumption will be a major basin for of our national economy. For ABC, we have 806 million individual customers, and these are sort for our future growth. And secondly, ABC being a key player in the national team in providing the rich monetization program. We have over 126,000 accounting outlets. Over 196 service points, providing services to all the country areas. So this is an advantage, this is cities and the country wise. And then [indiscernible] here, it will be able to be paying as route to our business growth. In past few years, we have been dedicating ourselves to transmission in  digitalization. Big data application, the online business system construction as well as the digital financial services and so forth, we have made major progress under this program has provided new driving force for our long-term stable growth. And the third dimension is further improvement in our asset quality. As you can see from the data we released this morning, this will result in our coherent governance in the past several years as well as the reform of our internal mechanism from the credit approving process. Now the NPL is back to 1.37%. And after we [indiscernible], basically it is close to the base level and the NPL ratio also declined year-on-year. And last year, there was 2.5% difference. So actually, it is also the best performance we have ever had sinch the government stage. And like I said, we will take active measures and communicate with the market fully and comprehensively. And we will give you average recommendation on invest and suggestions to enhance our long-term construction of our business. So to deliver more value to the society to shareholders and to our employees. We also help that all investors, please continue sticking to us and holding your confidence on our shares. And please also share our highlights with other investors and the way the market has worked and build of our own valuation system with the Chinese characteristic. Thank you.
Unknown Executive: The 14th question will be from Beijing [indiscernible]. In the mid area, the fourth row, the lady over there, please, to the right.
Unknown Analyst: [indiscernible]. My question is about the digital transmission. So many banks are focusing on the digital transformation and the ABC, we have major progress. So I just want to understand in the digital transformation, what measures, I can just take specifically?
Unknown Executive: Mr. Fu, please allocate the question.
Unknown Executive: I will take this question. Thank you for the question. First of all, you can see, we have a fully maintain strategies. Digital business is one of our 3 strategies. So therefore, in the past few years, we will take digitalization at the key lines in our [indiscernible] projects in order to implement the digital transformation. In 2022, we have furnished the framework for those top 10 projects. So our capability of data utilization improved a lot under results of digital transmission has also been good. So I can share with you specifically the following area. Number one, the financial service capability for the visibilities for the improved. We focus on the applications within key areas. They are the address management system, was launched in over 1,500 countries. And we are using these platforms over 1,200 [indiscernible], we keep optimizing our home product. Now this product is basically for the agriculture-related customers. And with the total balance of launch with our RMB 750 million, which is 78.3% of growth. We also provide -- we also launched other products and providing more -- providing solutions to some pain points. We are currently in 33 branches. We have already implemented these new programs and the launch the digital product. And the second area is we have enhanced our digital channels. So talking about the iteration. Now the state is much faster. And first of all, we have the -- 8.0%. And now our wealth management and the [indiscernible] platform is better. At the end of last year, our active MOU is over -- also with the higher level and within our other banks, in terms of our financial service capabilities, we also meet this capability even stronger. So from [indiscernible]. So in people data into their life, energy is on the support. So these are the areas -- these are the scenarios that we can use our products to provide the [indiscernible] financial services to them. And then thirdly, our digitalization capability is also enhanced. So we have high-quality of digital assets as well. Last year, for the customer, we set up the finalization for the organization [indiscernible] products and the customers. This is the [indiscernible] tools are being optimized for the corporate customers, individual customers, residents and all these systems are being upgraded and risk management was in count that will be full digitalization. So digital module banking and the application also go deeper. So generating throughout the bank, we have all their sales then their data is a major driving force to our business growth. And then number four, the foundation of our digital transmission is also further enhanced. We have built our distributed system and also a bit of our own information security system. So I must say that in the past few years in terms of the digital transformation, we have made progress. This year, we will go on enhancing and consolidating the achievements we have made and deepening the sharing and empowerment. And the first time, our need in business growth and operations, we will expand new application areas and keep pushing digital transmission to deeper and wider. So these are the key areas on which we are working on, number one, we will continue working on the digital empowerment in the agriculture related areas. And we have an online business model available as well. We can connect it to the external high-quality data to build up our own module systems at the headquarters. I've got to be specific for the most offices so that we can provide all process online services. And meanwhile, we will keep deploying the application scenarios of our agriculture revisit. Now by relying on our platforms, we will go on expanding the number of [indiscernible] and providing digital services to the agriculture-related users. And then number 3, we will build out the integration of online, offline services and full play to the CapEx results from online as well as the network results from offline, from system procedure, data and so forth. We will steadily push forward our [indiscernible] mobile market impacts and a support to build connectivity with different channels. But this will be the link connecting under both lines, the 2 operations sales that these 2 fields can build up a new landscape of operations. And thirdly, we'll keep operating our capability of our data utilization and so completing our data infrastructure projects. So while we're pushing forward our data lake construction projects, we will also improve the accessibility and the usability of the data. We will also deepen data in terms of the capital marketing and refine management as well as refined risk management and to the system model production tools in terms of sharing the empowerment. And then number four, by relying on digitalization, we will empower the digital operations at a lower level and reduced the pressure and by using different financial tools and reduce influence from IPR, SR and SFO to reduce the workload and reduce the pressure. So we'll aslo focus on resolving all the difficulties and their pain points when they use the data financial tools. to empower them and improve the working efficiency and the productivity. Thank you.
Unknown Executive: Thank you, Mr. President. For the interest of time, we'll take the last question. This question will be from online. Let me select -- answer the question, which is also very strictly asked the question. This question is about wealth management. The question is, so the capability of our wealth management has built a lot of influence to your long-term profitability. For the big wealth management, what is your core competitiveness? And how big is it? And what are your new strategy this year? Mr. Fu, please allocate the question.
Unknown Executive: Well, this question will be answered Mr. Han, our Board secretary.
Unknown Executive: Okay. Thank you. So this is the last question. Mr. Fu has left this question to me, it's my pleasure. So first of all, thank you for your question. For ABC, we have always stick to the value preference of our providing services for people. So as guided by the one body to ones. So on one body means the customers. And the 2 ones means our strategies. So under this strategy, so we promote the -- our strategy, which is the called the big wealth management strategy. The saving loans as well as the customer, we have made progress in each of the assets. First of all, the individual savings. Last year, in just 12 months, the incremental part exited RMB 2 trillion, creating an industrial record. For individual loans as well as individual customers and also the -- so the ACM, the incremental cost and incremental growth speed, we are both ahead of others. So these achievements, I also -- Mr. Fu already mentioned in his presentation. Last night, we made our announcement as well. You may have already found such information. But as for the specific data, I wouldn't elaborate too much. So some friends online also asked that in terms of big wealth management, what are our core competitiveness. I think we have core competitiveness in 4 areas. For particularly for our depreciation advantage in the lower. Number one, our assess allocation, investment research, our risk management and talent construction. So these are the 4 areas there we keep improving and build up our own consecutively. In terms of asset allocation, based on the customers' risk appetite as well as depreciation requirements will allocate the resources in plan so that we can allocate the right products to them and be the customer's family, wealth manager. In terms of investment research, we keep improving our understanding on the macro economy as well as the market changes being predicting with such analysis as well as analyzing the industrial tends. And in terms of risk management, we keep improving our whole risk management system. I identify the risks earlier and the purpose from that and stick to the bottom line. In terms of talent book, we make more answers in attacking the culturing talents to provide sufficient talent guarantee for our further growth. So as [indiscernible] said, we will continuously stick to our key areas of [indiscernible] program in the country area as well as the investment strategy. So now we have a more -- bigger and a bigger [indiscernible] and people have more and more family wealth. So more and more demand for wealth management. So this is a very good opportunity for us. And -- so we will further promote our big wealth management services to a higher level. Specifically, we will focus on 3 areas. First of all, in terms of our product supply, last year, we lost [indiscernible] and some online products and found a strategic investment. One of our [indiscernible] welcome by the market. This year, we will further implement the MT products as well as boutique products in order to satisfy different customers, different needs in providing personalized product. In terms of partnerships, we will be more inclusive and sharing and very soon we're going to launch a world open platform to attract high quality of institutions to [indiscernible] and provide enriched product in wealth management. We will also enhance the admission and the cost saving management for all the participants. And on the one hand, we motivate all the partners to providing high-quality products. Meanwhile we also managed the risk accordingly. And number three, in terms of customer services, we will focus even more on the pre-sale, mid-sale and post-sale, all 10 -- all 5 services and accelerate the digital transmission of our service -- of our products. And by leveraging different technology approaches where we enhance the asset. The innovation of tools as an application of our business tools. Meanwhile, by leveraging our network, the [indiscernible] banking and coverage and so forth and our focus on the highly efficient online as well as the overall channels offline this integrated system. And work hard to deliver even higher quality and even more, frankly, products in investment and transaction experience. I hope I have given you a satisfying reply to your questions. Thank you.
Unknown Executive: Ladies and gentlemen. Thank you all very much for taking the time and join us on our '22 annual results announcement today. And we thank you very much for all your support and the continuous improvement to the bank. And I thank the management for your interest sharing and taking all the questions. This is the end of the annual results announcement for 2022. Thank you very much. [Statements in English on this transcript were spoken by an interpreter present on the live call.]